Operator: Good morning, ladies and gentlemen, and welcome to WiLAN's Second Quarter 2013 Financial Results Conference Call. [Operator Instructions] I would now like to turn the meeting over to Tyler Burns, Director of Investor Relations.
Tyler Burns: Thank you, operator, and good morning, everyone. Earlier this morning, WiLAN issued a news release announcing its financial results for the second quarter ended June 30, 2013. This news release is available on WiLAN's website and will be filed on SEDAR and EDGAR. On this morning's call, we have Jim Skippen, WiLAN's President and Chief Executive Officer; Shaun McEwan, WiLAN's Chief Financial Officer; and Michael Vladescu, WiLAN's Chief Operating Officer. Following remarks prepared by Mr. Skippen and Mr. McEwan, analysts will have the opportunity to ask questions. Certain matters discussed in today's conference call or answers that may be given to questions could constitute forward-looking statements. Actual results could differ materially from those anticipated. Risk factors that could affect our results are detailed in the company's annual information form and other public filings that are made available on SEDAR and EDGAR. During this conference call, we will refer to adjusted earnings, adjusted earnings does not have a standardized meaning prescribed by U.S. GAAP. Adjusted earnings are defined in our quarterly and annual filings that are made available on SEDAR and EDGAR. Now, I would like to turn the call over to Jim Skippen. Jim, please go ahead.
James Douglas Skippen: Thanks, Tyler, and good morning to everyone. I first want to touch on a number of second quarter highlights. During the quarter, WiLAN generated revenues of $19.9 million, exceeding our guidance of $17.5 million for the quarter. We signed license agreements with 5 companies, including an early license renewal with Samsung, bringing our total number of companies licensed to 270. We returned over $7 million to shareholders in share buyback and dividend payments. In addition, I am pleased to advise that the Board of Directors just declared a quarterly dividend of CAD 0.04 per share for the second quarter of 2013. This dividend will be paid on October 4, 2013 to shareholders of record on September 13, 2013. Next, I would like to take a few moments to reiterate our business strategy. One of the key strategies we employ is to have multiple licensing programs in different technology segments. Each core portfolio would be expected to include many and sometimes, hundreds or even thousands of valuable patents. We intend to keep adding to each core portfolio so that the value of the licensees is always increasing. We have been building a large wireless portfolio since 2006, and today, our wireless portfolio contains over 1,200 patents and applications. Since 2007, we have been building a more valuable digital TV and display portfolio which today includes over [indiscernible] patents additional core programs with a particular [indiscernible]. We are forging partnerships with other [indiscernible] increased the number of portfolios that we can effectively license. To date, we have signed 13 partnerships. As I indicated, we have signed licenses with over 270 companies, and what is notable is that the vast majority of these agreements were achieved without litigation. While we are prepared to be fair always, we always reiterate the point that signing agreements with poor terms might help our short-term results, but it would hurt our long-term success since we could be put in a position that we would need to offer similar inferior terms to future licensees. This is not in the best interest of WiLAN, in our view, or our long-term shareholders. We attempt to conclude license agreements through negotiation, but we must be prepared to use litigation if negotiations do not progress adequately, even though we know litigation can be unpredictable. Our business strategy favors reaching settlements to avoid court, however, as I've just highlighted, the settlements must be fair. We also have to be very careful what we say in public forums or conference calls for that matter regarding our licensing and litigation because infringes can take our statements and partial statements out of context in court proceedings. Our goal is to be as transparent as possible, but again, we have to do what is of the best interest of our business and long-term shareholders. Turning now to our litigations. We currently are involved in 15 patent litigations against 13 defendants. Recently, we had one of those cases go to trial and verdict, and unfortunately, the jury verdict was for the defendants. I can make the following comments and observations about this trial. We strongly disagree with this verdict and believe the jury reached the wrong conclusion, and we are continuing to evaluate whether an appeal is appropriate. This case in Texas involved 4 U.S. patents from 1 patent family we acquired from Airspan, as part of a larger portfolio acquisition, so it represents a tiny fraction of our overall portfolio. When investors evaluate this decision, it's important to keep in mind that litigation, including judges and juries, are somewhat unpredictable. And from time to time, we do expect courtrooms will go against us. Sometimes, the decision may go against us even when we should win. This is just part of the trial process, particularly as laypersons in the jury can struggle when dealing with the highly technical nature of some trials. Even if we lose a patent or a case, the story is almost never over with the infringer since we would usually have other patents that apply to the infringer's products. We certainly believe that we have other patents that apply to the 4 defendants' products in the recent Texas 3GPP trial. In fact, 3 of the 4 defendants from the recent trial are already defendants in other WiLAN patent cases. Nevertheless, after this setback, we are reviewing some of our strategies and approaches to litigation with the focus on the following 2 things: ensuring that we do the very best we can when we are presenting in court, and attempting to reduce litigation fees overall. Turning to other litigations, litigation involving Apple, Alcatel-Lucent, ACC, HP, Novatel and Sierra Wireless relating to WiFi and CDMA technologies in handsets, base stations and modules, is scheduled to go to trial on October 2013. Recall that Dell was dismissed from this litigation earlier this year after they took a license. Litigations involving RIM and Bluetooth technology are now scheduled to go to trial on March 2014. The trial and litigation involving Toshiba related to multiple digital TV and display related patents is now scheduled for January 2014. Litigation involving Alcatel-Lucent and LTE technology is scheduled to go to trial in April 2014. Next, I would like to discuss our core licensing programs and recent license signings. In the second quarter, we signed license agreements with 5 companies. Telrad Networks and Doro AB licensed wireless technologies in our portfolio. As I highlighted at the beginning of the call, we signed an early license renewal with Samsung. The license covers Samsung's mobile products and networking infrastructure equipment. Dell signed a license to certain patents in our portfolio to resolve litigation. I mentioned on our last conference call that Panasonic signed a license early in the second quarter to our broad digital TV and display portfolio. Panasonic is the first major television manufacturer to license our broad digital TV and display portfolio. Subsequent to the end of the second quarter, Unnecto licensed wireless technologies in our portfolio. To conclude, our successes in recent months have advanced the key growth strategies. The license agreement signed with Panasonic, Samsung and others are important milestones of furthering our licensing program. We continue to have a significant level of business activity that we believe will drive performance that will benefit WiLAN and our long-term shareholders. With this, I will now turn things over to Shaun to discuss our financial results in more detail. Shaun?
Michael Shaun McEwan: Thank you, Jim, and good morning. Revenues for the second quarter of 2013 exceeded our guidance by approximately $2,400,000 or 13.7% and came in at $19,900,000. As Jim commented earlier, we signed an agreement with Samsung during the quarter which contributed in part to the higher revenues in the quarter. As the renewal license replaced the previous license, any revenues of that would've been booked under the old license were replaced with revenues under the new license. For the quarter, 4 licensees each accounted for more than 10% of revenues as compared to 2 in the same period last year. In the second quarter of 2013, the top 10 licensees accounted for 85% of revenues as compared to 86% in the prior year period. Now I'd like to cover our operating expenses briefly. The cost of revenue expenses for the second quarter of fiscal 2013 totaled $22.5 million. Patent licensing and litigation expenses, cash costs in this category, were $1.3 million and $14.6 million, respectively. Cost of revenue expenses in the quarter also included $6.3 million in patent amortization and $263,000 in stock-based compensation, both noncash expenses. Comparatively, in the second quarter of fiscal 2012, the cost of revenue expenses totaled $12.9 million and included licensing expenses of $864,000, litigation expenses of $5.8 million and other noncash charges totaling $6.2 million. In the 3 month period ended June 30, 2012, litigation expenses, at $14.6 million, exceeded our guidance for the quarter of between $10 million and $12 million and accounted for virtually all of the increase in cost of revenue expenses year-over-year. The increase in litigation expense over the guidance provided was primarily due to significantly more effort necessary in particular preparations for the 3GPP trial that Jim spoke of, as well as the handset case that is set to go into trial in early October of this year. As we have stated before, litigation activities can be difficult to predict. R&D expenses in our second quarter were $2.1 million or approximately 11% of revenue and were consistent with the prior year period. Our research expense, consisting principally of staff cost, was $443,000. We also spent approximately $1.4 million on the management of our patent portfolio, expenses relating to the prosecution and maintenance of our patents that we consider as development expenses. Patent management expenses increased over the comparative period from last year by slightly more than $570,000. The increase is due in part to higher maintenance and prosecution fees resulting from the acquisition of the large digital TV and display portfolio of WiLAN, acquired in late 2011. WiLAN's response to post grant reviews by the USPTO, which began after the second quarter of 2012, also contributed to the increase. Our marketing, general and administrative expenses in the second quarter of 2013 totaled $3.9 million and included $3 million in overhead expenses, which are cash-oriented and $850,000 in noncash charges for depreciation and stock-based compensation. Comparatively, in the second quarter of 2012, MG&A expense totaled $3.3 million, which was comprised of $2.4 million in overhead expenses and noncash charges of $780,000. The increase in year-over-year is predominantly related to increased staff cost. For the 3 months ended June 30, 2013, WiLAN recorded a net income tax recovery of $2 million as compared to an income tax expense of $1.4 million in previous year. The current income tax expense of $1.3 million booked in this quarter relates to taxes withheld on royalties received from foreign jurisdictions for which there is no treaty relief. As a result of all of the above, WiLAN's GAAP earnings amounted to a loss of $7.6 million or $0.06 per share in the 3 month period ended June 30, 2013, as compared to a GAAP loss of $0.1 million or 0 per share for the same period last year. Adjusted earnings, a non-GAAP measure that assists in evaluating the performance of the business by eliminating certain noncash and nonrecurring charges, for the second quarter amounted to a loss of $762,000 or $0.01 per share, which was within our guidance range of between a loss of $1 million and an earnings of $1 million. Now quickly turning our attention to the balance sheet for a moment, we completed the quarter with $159.3 million in cash, cash equivalents and short-term investments. This represents a decrease of $7.9 million from the first quarter. Turning to second quarter of 2013, business operations generated $2 million of cash and the company paid dividends totaling $4.9 million, repurchased shares totaling $2.3 million and invested $2.3 million in the purchase of patents. These 3 items account for the change in cash position in the second quarter of 2013. Through the third quarter of 2013, looking ahead to our guidance, we expect revenue to be at least $20.7 million. This revenue guidance does not include the potential impact of any additional royalty reports to be received between now and the end of the quarter or any new agreements that may be signed during the remainder of this quarter. Operating expenses for the third quarter are expected to be in the range of $20.5 million to $21.6 million, of which $13.5 million to $14.5 million is expected to be litigation expense. For the third quarter of 2013, and assuming no additional agreements are signed, adjusted earnings are now expected to be in the range of a loss of $650,000 and earnings of $500,000. As we are executing against a significant number of litigations concurrently, our operating expenses are to remain relatively high in the third quarter. Obviously, we expect to realize a meaningful long-term revenue benefit from these initiatives and would expect our legal expense to reduce as a result of reaching license agreements with various defendants. As we have discussed in the past, and our performance has proven, our business model has a high degree of operating leverage. This concludes my review of the financial results for the second quarter ended June 30, 2013, and then we'll now turn the call over to Tyler.
Tyler Burns: Thank you very much, Shaun. We will now move to the Q&A portion of the conference call. [Operator Instructions] Operator, may we have the first question?
Operator: [Operator Instructions] Our first question comes from the line of Justin Kew with Cantor Fitzgerald.
Justin Kew - Cantor Fitzgerald Canada Corporation, Research Division: So first question, just on the increased -- well, not the guidance, but the amount of revenue you might expect in Q3. Is there a big proportion of the variable revenue in that? In other words, is the seasonality from the V-Chip side high in Q3? So is there seasonality brought into that?
James Douglas Skippen: Justin, the revenues -- we don't usually break it down, but I can tell you it's relatively flat so it's not seasonality from that, that's built in. Fixed license agreements.
Justin Kew - Cantor Fitzgerald Canada Corporation, Research Division: And then just to -- yes, and just to -- so just so we understand, to have a clear understanding of upcoming litigation activity then. So, really, the early trial scheduled for H2, like before the end of the year, would be the WiFi. Is that correct? I mean, there is the Hon Hai as well with the...
James Douglas Skippen: Well, the way you describe that the WiFi, it's really probably the more critical technology in that trial, which is an October trial at Marshall, Texas, is the CDMA and HSPA technology, relative to handsets, although WiFi does form a part of it. And that's the only trial we now have scheduled in 2013. All the rest are moved to 2014.
Justin Kew - Cantor Fitzgerald Canada Corporation, Research Division: Okay, and that includes -- but the Hon Hai, the contract dispute for Florida that was scheduled November? Is that still -- will that one still go ahead?
James Douglas Skippen: No, I don't believe so. I mean, I'm not sure if it was ever actually scheduled for trial in 2013. I don't recall that, but I do know that we don't have a trial in November 2013 with Hon Hai.
Operator: . Our next question comes from the line of Tim Long with Bank of Montréal.
Timothy Long - BMO Capital Markets U.S.: First, just a clarification on Samsung. I think you mentioned that it was responsible for part of the upside to -- compared to your guidance. Could you just give us a sense, is that something related to the fact that it was signed in that quarter? In other words, is that a onetime benefit as the deal was signed, or is that something that we should expect going forward to also result in a higher stream for you? That's number one, and then number two, maybe just on a higher level, Jim, if you could talk about given the outcome in the HSPA trial, when planning your business over the next year or 2, are you now expecting that you will more often be going to trial given the outcome and the model needs to be adjusted accordingly, or do you think that's just a one-off and has really no impact on these other OEMs' decisions to either make their settle or go to court decision?
James Douglas Skippen: Okay. So the first question, I think what I heard you ask is whether the partial -- our guidance of $17.5 million, if you recall, that would have included part of the former Samsung agreement stream of payments. That agreement went away as replaced by a new agreement and in part, as a result of that, our revenues were $19.9 million. So it increased. And I think you were saying is that sort of a onetime phenomena or is that something that we would typically expect to continue? I think the way I will answer that is, I really -- I'm not supposed to get into the exact financial terms of the Samsung agreement based on our agreement with Samsung. But I will say this: our typical model is that we would be looking for payments during the lifetime of the agreement of basically an equal level. So that would be very typical, and it would be quite unusual if the payments were not relatively equal throughout the entire agreement. So you can sort of read between the lines there on it. But, I think, you can see what our guidance is next quarter. And on the second question, really, every case is a case-by-case situation. We prefer not to go to trial and, really, we evaluate whether we can sign licenses at rates we think are fair. And if we can, we don't go to trial and if we can't, we do. Do I think it will be more likely? It's hard to say. I mean, we think it makes more sense to settle. And so, we're trying to settle things and we think most of the time we will settle, but it is possible we can go to trial and I can't really predict easily whether it's more likely or less likely to go to trial in the future. It's just hard to know, we'll have to see.
Operator: Our next question comes from the line of Daniel Kim with Paradigm Capital.
Daniel Kim - Paradigm Capital, Inc., Research Division: Gents, I wonder if I could go back to the quarterly revenue run rate here. Nice to see that the revenues have bumped up from the $18 million a quarter range for the last couple of quarters. But if we look at the forward numbers, and with the 5 new licensees, perhaps you can help we with the math here in terms of -- Jim, you kind of alluded to the flat payments. So for the third quarter, just to be clear, will you be getting a full contribution now from Samsung, Panasonic and the others? Is that built into the guidance or is there some type of -- was there a different term in terms of when it start -- when the payments actually start to come through? I guess, my question is, the delta that we see between, say, Q1, Q2 revenues to now, Q3 guidance, say, $3 million to $4 million, would that be the rough delta that we can assume as the right amount from these 5 new licensees?
James Douglas Skippen: Well, so I will say, firstly, remember though that we lost some because the Samsung payments from the old license were taken out, replaced with new payments. But maybe it amounts to the same thing. But there is, obviously, a delta between $17.5 million and $20.7 million, and it would be reasonable to assume that, that delta is the result of new licenses we've signed. But I can't -- I don't want to categorically confirm or deny that, but the numbers kind of speak for themselves. The typical model is to increase -- or rather, to have equal payments during the term of the agreement. So that would be the model we would attempt to achieve with most licensees.
Daniel Kim - Paradigm Capital, Inc., Research Division: Okay. And on a litigation expense front, the expense is now in the $14 million range per quarter. Understandably, it's difficult to forecast, obviously, with all the litigations currently ongoing. But in terms of looking forward with the trial scheduled, I presume that rate would continue well into Q4, and possibly into Q1? Would that be a reasonable assumption?
James Douglas Skippen: Well, there's a lot of work underway at WiLAN right now, I think, to look at alternatives that will reduce that litigation -- level of litigation expense. So I'm very hopeful that, that is the worst case and that we can do better than that. But we have to see where these things go. I think in our current forecast, we do think that litigation at least will drop somewhat, even if we don't change anything. So right now at least, I think we think that this quarter would be a high watermark. But again, we're quite keen that we see litigation expenses go down and we're working on it. And we might have had some -- something to announce or some new news at this conference call that happens 3 weeks from now. But we're working on that. So I think it's a high watermark, and it should go down from there is the bottom line.
Operator: Our next question comes from the line of Robert Young with Canaccord Genuity.
Robert Young - Canaccord Genuity, Research Division: If I can continue on the litigation expense line there, can you talk about how confident you are on the guidance for Q3? I understand that there's variability. I'm just trying to compare the previous quarter, the range you gave was $10 million to $12 million, which is a $2 million range, and this quarter, you're giving a $1 million range, which suggests you have greater visibility or greater confidence. Would that be the case, or am I reading into that too much?
James Douglas Skippen: Well, I don't know. I mean we try to get it as -- we do it as accurately as we can every quarter, and we try to be correct, and I think this quarter, we are a little bit under what it turned out to be. That was largely driven by something completely unexpected to us, which was that we got attacked on our privilege log and had to go through, literally, I think, millions of documents or thousands in any event, hiding over whether they should be privileged or not and that ended up adding $2 million to the expense. The other thing is some of the court cases were advanced with earlier trial dates and that sort of sped up the level of spend. Having said that, though, I think we feel that, that, the number we've given, is a conservative number. And we don't expect litigation to be worse than that. We hope that some of the things we're working on workout or maybe we can do a bit better. But assuming that nothing changes, that's the number that we think is realistic.
Robert Young - Canaccord Genuity, Research Division: Okay. And then my second question would just be, if I could ask you about your philosophy on the dividend going forward. In the past, you've broken out some targets as a percentage of cash flow. I think, 40%, you'd said, was allocated to dividends. And mindful that you have plenty of cash balance to sustain a dividend for quite a while, now that you've seen a couple of quarters with cash balance decline, can you talk about the philosophy of how consistent that dividend might be in the near term?
James Douglas Skippen: Sure. Well, our philosophy is that we want to continue to allocate sort of 40% of free cash flow. Now, we think that the level of litigation spend is almost like a capital investment, in that it's expensive, but it's temporary, and it's going to drive revenues down the road, and we think -- we don't -- we think it's not normalized activity. So we feel very comfortable that our dividend is at the right level, and that we will be continuing it, and in fact, it's our philosophy that we'd like to be a company that's periodically increasing its dividend and subject to our financial performance on what the board decides to do. I'd be happy, personally, to see that. So I don't think there's any contemplation at all at this time, that we would be cutting the dividend or reducing the dividend, and we see the high level of spend is a temporary phenomena.
Operator: Our next question comes from the line of Blair Abernethy with Stifel.
Blair H. Abernethy - Stifel, Nicolaus & Co., Inc., Research Division: Jim, I just wondered if maybe you can give us an update on how you're thinking about capital allocation on the acquisition of patent pools right now versus buying back your own stock, given what's happened in the last few weeks. And maybe give us a sense of what capacity you have on your issuer bid right now.
James Douglas Skippen: Well, I can tell -- Shaun may have some comments on that, too, that might be as -- I can tell you quickly, I'm still very much in favor of the capital allocation model we have, which is basically 40% on dividends, 40% on patents, acquisitions and 20% on buyback. We have been continuing the buyback of our stock and at this point, at least, we usually discuss it right after we do the conference call because we usually want to implement a process right when we're at a blackout. So I assume that we'll be meeting and talking about it, figuring out if we want anything to change, but either way, what I'd expect at this point is that we will likely continue to allocate our capital in roughly those proportions.
Blair H. Abernethy - Stifel, Nicolaus & Co., Inc., Research Division: Is -- in terms of the acquisition pipeline, I wonder if you can give us a little color on what the funnel is looking like right now. And I know you had 1 smaller portfolio in the quarter. What's your thinking sort of in the back half of the year here?
James Douglas Skippen: Yes, there was actually -- there were actually to acquisitions that were agreed upon. I think 1 is confidential and is part of a license, so I can't really -- I can't elaborate further. But I will tell you that there were actually 2 acquisitions that were agreed to this quarter. The pipeline is robust. I mean, we see an enormous number of opportunities. I think right now, usually in a quarter, we'll evaluate about 50 opportunities. And probably, 20 of them will -- or 20 to 30 will say we're in a closer look, and they continue to go through the funnel and hope -- and sort of go through different levels of due diligence and -- before they get to the point where we're making offers on it and sometimes, we can get it at a price that we think is -- make sense and sometimes, we can't. But there's lots of patents available. It's just that the tricky apart is finding the valuable ones.
Operator: Our next question comes from the line of Eyal Ofir with Clarus.
Eyal Ofir - Clarus Securities Inc., Research Division: So just touching on the patent acquisition. If you look at the balance sheet, you guys have added about incrementally, 20 -- $25 million worth of patent finance obligations. I imagine that has to do with Cypress acquisition, potentially, some deal you struck with Samsung. Could you just talk about, a little bit more, in terms of how we should expect this $30 million to get paid? Also, on the cash flow similarly, I noticed it wasn't part of the patent acquisition so I wasn't sure if this is kind of an obligation going forward to be acquiring patents over the long haul or if it's a onetime thing. Just to get some clarification there, if you will? And then, Jim, if you can also talk about just the addition of the new executive from Acacia and obviously, it looks like you're building out your semiconductor licensing. So maybe give some comments on that.
James Douglas Skippen: Yes, okay. Well, the -- that, the -- I think it's $26 million, maybe it's $25 million?
Michael Shaun McEwan: $26.4 million.
James Douglas Skippen: $26.4 million. That relates to an obligation with one of our licensees that over time, we will be acquiring a number of patents. And we don't know exactly -- based on the terms, that there's some variability on when those payments will be made. And so that's the way that the accounting treatment -- I don't know Shaun if you want to...
Michael Shaun McEwan: Yes, I would say it's related to the acquisition and certain licensing rights, and generally, we think that roughly half of it will be paid in the next 12 months. The other half will be paid in 12 months after that.
Eyal Ofir - Clarus Securities Inc., Research Division: Okay. Is there a number of patents you guys can talk to and are acquiring and the different types of technologies you are acquiring as well?
Michael Shaun McEwan: At this time, no.
Eyal Ofir - Clarus Securities Inc., Research Division: Okay. And then Jim, could you just talk about kind of the semiconductor licensing you've had...
James Douglas Skippen: Oh yes, yes. So Marc was the Senior Vice President of Acacia here for a long time, doing a lot of semiconductor licensing there. We think he's a great acquisition, and he comes along -- there's another fellow that joined us, Naheem Abhkag [ph], who was a senior vice president recently at IPNav. And was a -- well, before that, a vice president at Acacia and he's a semiconductor technologist and he's joined us as the Director in that group. And they are tasked with building a semiconductor licensing program, and we do have -- I think we have approximately 100 patents in the semiconductor space already and they're going to build on that, and we're excited to have them onboard. And a couple of the people that we already have working for us have joined up with them. So, it's a team of about 4, 5 guys right now, and they're -- we hope that within 1 year or 2, they'll have a growing semiconductor licensing business.
Eyal Ofir - Clarus Securities Inc., Research Division: Okay. One last question for you. Could just talk about kind of the pipeline in terms of some of additional Gladios partnerships you may be speaking to and how does that look, if anything's changed since the trial outcome?
James Douglas Skippen: Yes. There -- it's coming along. That part of business is developing. I do know of several negotiations that are going on right now with licensees and offers that have been made, and I do know that there are several portfolios that have come on board, that law firms have looked at it and agreed with us that the portfolios were valuable and they're willing to take the portfolios on at full contingency if we want to proceed. So, I think things, are moving forward. I actually -- I think that there may be -- they may file 1 or more lawsuits in the next couple of weeks. So stay tuned, but it's slowly but surely growing. We are -- it's a relatively modest effort right now. There are really only 2 full-time employees, led by Paul Lerner, right now. We're focusing on that. And I'm optimistic that over time, it's going to be a good part of our business.
Operator: Our next question comes from the line of Robin Manson-Hing with CIBC.
Robin Manson-Hing - CIBC World Markets Inc., Research Division: For 2014, a number of defendants, what do you see at the next major, post the Apple trial, is the next major contributors, I guess, to revenue growth if you were to sign some of the guys? And then moving past 2014, it seems to be a little bit of a lull, I guess, if you look at litigation. So what is kind of the next -- I know you've talked about semiconductor portfolio and medical, but is there anything -- are we going to see, I guess, litigation at the start being a 2-year plus process and what are your plans for over the next 1.5, 2 years?
James Douglas Skippen: Well, you should recall that the 2 most significant licenses we've signed in the last at least -- well, maybe last year sort of came out of the blue for people, at Panasonic TV license and a significant Samsung license. And so you cannot always say, "Well, these are the guys in litigation so that's where the license is going to be." Sometimes there's a lot of other activity that's going on. Just in terms of what's coming up, so yes, we have this trial with a number of defendants coming up in October. A number of them are in other litigations with us like, for instance, Apple and HTC are in other litigations with us. But coming down the pipe then, we have Toshiba and a trial that's coming up on TV patents, and that's scheduled for January of 2014. So it follows fairly quickly after the October 2013 trial. Then we have a number of things coming up with companies like RIM, Alcatel, LG, HTC, Apple on the LTE patents. And the LG is on TV patents. And all the rest are in LTE patents. So this -- when we look at it, there's quite a bit of activity going on until 2015. A very significant amount of activity particularly if nothing sells all the way. I would expect that there will be settlements. And then we'll have to see what we will -- I mean, I don't know if you're trying to figure out what's going to happen in 2015, 2016, but there's an awful lot of activity in settlements over the next 1.5 years.
Robin Manson-Hing - CIBC World Markets Inc., Research Division: Okay, great. And, I guess, just in terms of things like Nokia and other renewals, I guess, it's just kind of a wait and see discussion?
James Douglas Skippen: Discussions are continuing with Nokia and I can't really say more than that at this time.
Operator: [Operator Instructions] Our next question comes from the line of Ralph Garcea with Global Maxfin.
Ralph Garcea - Global Maxfin Capital Inc., Research Division: I guess, just following up on the Gladios question. I mean, what was the partner contribution in the quarter roughly? Or can you give any color on that on...
James Douglas Skippen: Yes, I mean, it was relatively low. It would be less than -- hundreds of thousands so not that significant at this point.
Ralph Garcea - Global Maxfin Capital Inc., Research Division: Okay, and then just on building out this new team under Marc on the semi side, is that sort of a prelude to further strengthening of the partnership with Samsung and in some other multinationals that you may be talking to on the semi side?
James Douglas Skippen: That's definitely something that we're interested in, and are pursuing. So that -- we will -- we are growing internally and making acquisitions internally, but we are looking at possible partners, strategic partners that would help us, enable us with the large semiconductor portfolio.
Operator: Our next question comes from the line of Robert Young with Canaccord Genuity.
Robert Young - Canaccord Genuity, Research Division: I wanted to ask a little bit about the Samsung renewal. In the press release, you talked about patent assignments, and then there was a further, I guess, a hint at potential to collaborate on patent development, which I haven't seen before. And I was wondering if you could elaborate as much as you can on what that might mean.
James Douglas Skippen: Yes. So an element of the agreement is the contemplation that there will be a deeper relationship and deeper cooperation. And I think at this point, it would be premature for me to say a whole lot more than what we've just alluded to, which was in the press release, except to say that the license does contemplate a deeper level of collaboration with Samsung. And we are working towards that.
Robert Young - Canaccord Genuity, Research Division: Okay, and then, just another quick one. Just a broader question, I think Tim earlier tried to go down this line. But I was wondering if you could just talk about broader licensing environments. Would you say that companies are becoming more willing to litigate, irrespective of the quality of the patents in general? And is the potential to move to trial a higher likelihood now? Is or anything that's changed in the environment around the business?
James Douglas Skippen: I think you almost have to have your head stuck in the sand a bit if you didn't realize that there's been a very concerted effort by large technology companies, particularly the big infringers of patents and technology, to try to basically paint companies like ours as patent trolls and, really, to cast a negative light and, really, quite not fair light, I think. And they're well-capitalized and they have a lot of money to lobby with and the rumors are that they're spending more than $1 million a month trying to lobby congress and create noise about companies like ours and our business model. So I think it would be -- I think we think that it's probably having some impact. I don't think it's probably that significant, but President Obama has now come out with some statements that I take as somewhat anti-patent. So it is a little bit tougher environment. I don't think we overreacted. I don't think we see dramatic differences in our business, but it's a little bit tougher environment. I think we are recognizing that, and we have to understand that in everything that we're doing. One thing that we're working on is sort of an effort to make sure that some of the incorrect statements that are being put out there about patents and patent licensing are responded to. And Tyler Burns is working now with the group to try to make sure that these statements are not being made in a total vacuum. And that there is some response because a lot of the statements being made by these infringers and their lobbyists are really nonsense. Another thing though that has changed and that people should understand we're dealing with is that the law on damages has quite significantly changed. And we're trying to respond to that. And the way that this business used to work, it doesn't quite work that way anymore. It used to -- licenses now and the rates of the you ask for in licenses are much, much more important in determining what a reasonable royalty rate is. So it even gets harder with us because we are a typical model, as we license the portfolio. And defendants would love to get in there and say, "Well, they licensed 100 patents so it's at 1%, so they got 0.0001% for their patents," and, really, quite ridiculous things like that. So we're having to adopt that and develop new methodologies and new techniques that address of the changes and damages law. So I'll stop there and hopefully, that helps a little bit.
Robert Young - Canaccord Genuity, Research Division: Sure, that does. And, I guess, the second item might benefit from clarification. It's just the environment around the award of damages. The court costs and legal costs of the winner in court. I was wondering if you could talk about what that...
James Douglas Skippen: Sure. Okay. Well, in the 3GPP trial we just had, the rules are that if you lose, which we did, that you can be liable for some of the out-of-pocket costs. So these would be the things like doing a display for the trial and things like that. So we do anticipate that we may end up having to pay somewhere in the range of $500,000 to $600,000 to cover out-of-pocket costs. There's another pocket, though, which are legal fees. The test to get legal fees is very onerous for the winner. They have to prove that the case was vexatious and frivolous and we just don't think there's any way that someone can make that case in this case. We still think that's on. Nevertheless, as often the case in these types of things, defendants are asking for their legal costs. We don't think they're going to get them, but we have to fight that, we may have to fight that out.
Operator: Ladies and gentlemen, we've come to the end of our allotted time for Q&A. Mr. Burns, I'd like turn the call back over to you for closing comments.
Tyler Burns: Thank you very much, operator. This concludes WiLAN's second quarter 2013 financial results conference call. A replay of this call will be available until 11:59 p.m. on November 6, 2013. Instructions for accessing the replay of this conference call can be found on the news release that was issued earlier today and on the WiLAN website. Thank you for attending.
Operator: This concludes the teleconference. We thank you for your participation. You may disconnect your lines.